Operator: Good day, ladies and gentlemen. Welcome to Timbercreek Financial’s First Quarter Earnings Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session for our analysts. Analysts are asked to raise their hand to register for a question. As a reminder, today’s call is being recorded. I would now like to turn the meeting over to Blair Tamblyn. Please go ahead.
Blair Tamblyn: Thank you, Operator. Good afternoon, everyone. Thanks for joining us to discuss the first quarter financial results. As usual, I’m joined today by Scott Rowland, CIO; Tracy Johnston, CFO; and Geoff McTait, Head of Canadian Originations and Global Syndications. During the first quarter, we were able to generate solid income levels and deliver on our monthly distribution while navigating a near-term reduction in the average mortgage portfolio. As we discussed on our last earnings call, we were intentionally cautious through much of 2023 and the lower portfolio balance also reflects two quarters of significant repayments, including the repayment of the large Quebec City portfolio in early January 2024. As you are evaluating the year-over-year financial results, this lower average balance was the primary factor in the reduced topline income versus last year’s first quarter, which represented a high-water mark over the previous two years. Conversely, interest expense on our credit facility was much lower, allowing us to largely maintain net income margins. In terms of the specific highlights, net investment income was $24 million versus $32.7 million last year. Q1 net income was $14.4 million versus $18.1 million last year. And we generated distributable income of $15.8 million or $0.19 per share. Within our typical range, the healthy payout ratio of basically 90%. We also paid a special dividend for the first time in the quarter and after paying this out, our book value per share was still modestly higher year-over-year, $8.37 -- $8.39 versus $8.37 in Q1 2023. We’d also highlight that our current book value is roughly 15% above the weighted average trading price in Q1. As Scott will outline, it was a strong first quarter for Originations, which allowed us to grow the portfolio from year-end levels. Importantly, we remain optimistic that a stable interest rate environment in 2024 will promote increased commercial real estate activity and present attractive risk-adjusted return opportunities for us to expand the portfolio back to historical levels over the course of the year. Lastly, our team continues to make good headway on Stage 2 and Stage 3 loans in the portfolio. We have shown we are depth of actively managing these situations to ensure the best outcomes for our shareholders. That remains a key focus in the coming quarters. With that, I’ll turn it over to Scott to discuss the portfolio trends and market conditions.
Scott Rowland: Thanks, Blair, and good afternoon. I’ll comment on the portfolio metrics, the progress with Stage 2 and Stage 3 loans, and the improving lending environment in 2024. Looking at the portfolio KPIs, at quarter-end, 85.7% of our investments were in cash flowing properties, compared with 86% at the end of 2023. Multiple residential real estate assets, apartment buildings, continue to comprise the largest portion of the portfolio at 54.6%, compared to 56.5% at the end of 2023. The portfolio remains conservatively invested. First mortgages represented 85.7% of the portfolio, compared to 88.9% in Q4. The lower percentage here is primarily due to the denominator effect of the recent first mortgage payoffs, as well as the second mortgage advance. Our weighted average loan-to-value for Q1 was 64.4%, down from 65.6% at year-end, as new loans were funded with lower LTVs, while loans with higher LTVs were discharged. The portfolio’s weighted average interest rate or WAIR, was 9.9%, down slightly from 10% in Q4, and up from 9.7% in Q1 last year. Our Q1 exit WAIR was 9.9%, down slightly from 10% exiting Q4. Overall, we are pleased to see the average loan-to-value declining in the portfolio, as we reinvest in more conservative loans, while maintaining high margins in the current market environment. It was a busy quarter for transaction activity. Total mortgage portfolio repayments were high at $167.1 million, three-quarters of which reflected the desired repayment of the Quebec City portfolio in early January 2024. This led to high turnover in the quarter of 19.4% similar to Q4 levels. The portfolio typically turns over 50% per year, so these are higher than normal rates. For the most recent quarter, turnover was only 4.7% outside of the Quebec City portfolio. At the same time, repayments create capacity for new investments. To that end, Q1 was a strong Originations quarter, with nearly $200 million in new mortgage investments and additional advances on existing mortgages. Q1 is typically a more competitive quarter as other institutional investors put that capital to work in real estate, so we’re especially pleased with this level of activity early in the year. As stability returns to the market, commercial real estate transaction volumes should broadly rise and this is an attractive environment for Timbercreek to grow the portfolio back to normalized levels. Our pipeline has been growing with attractive risk-return investment opportunities and we believe 2024, 2025 will be excellent investing vintages as the market has reset from previous valuation highs. In terms of the asset allocation, the mix between provinces changed significantly in Q1 due to the Quebec City repayment, which reduced the Quebec weighting to 16% from 29% at year-end, and we had strong deployment in Ontario during the quarter, bringing Ontario exposure to 45%, up from 32% at year-end. We’re very comfortable with a higher Ontario weighting at present and pleased to have the capacity to redeploy into Quebec. Generally speaking, the portfolio is divided into thirds between Western, Central and Eastern Canada. As Blair mentioned, we continue to make meaningful progress on the Stage 2 and Stage 3 loans in the portfolio. We have expanded disclosure on these loans in our MD&A, so I will focus my comments on the key developments and larger loans. On the Stage 3 loans, we completed the sale of the largest of the stage loans and we were fully repaid all principal and all accrued interest in January. This materially reduced the Stage 3 balance. We’ve also made progress on the multi-family asset under construction that was part of an earlier CCAA process. The property is nearing completion with expected occupancy this summer. The owners have injected fresh cash equity into the project to restart construction and liens are close to being fully cleared. We anticipate the loan returning to Stage 1 this quarter, at which point we will begin funding the balance of the construction advances. In terms of the Stage 2 assets, these include three office properties and one retail property with the same sponsor in Calgary, representing $54.7 million. During the quarter, we moved two of these loans from Stage 3 to Stage 2, so all three are now in Stage 2. And all these three loans now have collateral enhancement via equity pledges on proceeds from the sales of other assets owned by the borrower. We have forbearance agreements in place with the borrower, while the borrower focuses on leasing and optimizing the asset to realize full repayment. Maturity dates have been extended to the fall of 2025. In terms of other Stage 2 assets, the largest entry here relates to three loans comprised of eight primarily retail properties in Downtown Vancouver, totaling $110.3 million in exposure. These loans are all current, however, they were moved to Stage 2 while the borrower works on plans to sell assets to increase their liquidity position, which has been hampered by higher rates in the current environment. The assets are well-located Vancouver retail buildings that also hold residential redevelopment potential. Forbearance agreements have been signed to provide enhanced security via cross-collateralization. Current business plans should result in individual asset sales over the next year and a resulting reduction in our exposure. In summary, while there is more work to be done, our team is making great progress and remains confident both in the quality of the underlying assets and our ability to recover our investments through active management. As we resolve more of these and see the total stage loan balance decline, we look forward to focusing more of our discussion on new investments and the portfolio expansion. I will now pass the call over to Tracy to review the financial results. Tracy?
Tracy Johnston: Thanks, Scott, and good afternoon, everyone. As Blair mentioned, while it was a decent quarter, the year-over-year comparisons were impacted by lower average portfolio balance from the large repayment in January. We were able to redeploy this capital and more by quarter end. For context, the average net mortgage investment portfolio balance for Q1 was $863 million versus almost $1.2 billion last year and $1.1 billion at year end, which is a more typical level for us. As a result, Q1 net investment income on financial assets measured at amortized cost was $24.6 million, down from $32.7 million in the prior year. While we had slightly higher WAIR year-over-year, positively impacting the variable rate loans, this was offset by the lower average portfolio balance. Fair value gain and other income on financial assets measured at fair value through profit and loss improved from a gain of $282,000 in Q1 2023 to a gain of $337,000 in Q1 2024. And we reported higher net rental income from real estate properties of $474,000 versus a loss last year, reflecting the higher real estate properties inventory from acquisitions mid-2023. Net rental income was partially offset by a net rental loss from land inventory. Loan loss provisions for the quarter were $0.9 million versus $0.3 million in the prior year. The loan loss provisions primarily relate to provisions for future interest due to increased times to exit the Stage 2 and 3 loan positions. Lender fee income was $1.4 million, down from $2.5 million in Q1 2023. Q1 net income was $14.4 million, compared to $18.1 million in Q1 last year, and Q1 basic and diluted EPS were $0.17 versus $0.22 and $0.21, respectively, in the prior year. While the smaller portfolio balance impacted topline income, interest expense on the credit facility also declined significantly due to lower credit utilization, allowing us to maintain net income margins. Interest expense in the quarter was $3.9 million versus $7.6 million the same last year, basically half the amount. We reported quarterly distributable income of $15.8 million or $0.19 on a per share basis versus $0.22 in last year’s Q1. You can see from this chart that the per share DI is well within our historical range and the Q1 payout ratio on DI was a very healthy 90.6%, reinforcing our ability to generate healthy cash flows and dividends. During Q1 2024, we declared regular dividends of $14.3 million or $0.17 per share and a one-time special dividend of $5.75 per share, paid in March for a total of $4.8 million. Turning now to the balance sheet highlights. The net value of the mortgage portfolio, excluding syndications, was $977.5 million at the end of the quarter. This was an increase of about $31 million from the end of 2023, in spite of the healthy repayments as noted earlier, reflecting strong origination activity as the team successfully redeployed capital from pre-rate type loans in those of current metrics. At year end, we had $92.8 million of net real estate inventory, including land inventory of $30.6 million and net real estate properties inventory of $62.2 million, which is the three senior living facilities acquired in 2023. We exchanged a mortgage investment of $54.4 million for ownership of the underlying collateral, which we intend to sell. The gross asset of $131 million is recognized in the real estate properties inventory on the balance sheet, with the corresponding liability for the syndicate’s 50% share of the asset. You will find detailed breakdown of this in Note 5 of the financial statement. Enhanced return portfolio increased by $3.9 million to $53.4 million from $59.4 million in Q1 2023 and reflecting new investments in Q4 2023. The balance of the credit facility for mortgage investments was $293 million at the end of Q1, up from $260 million at the end of 2023, but meaningfully lower than Q1 last year, reflecting the higher repayments over the past two quarters and a more cautious underwriting position during those periods. We expect the balance to revert to a more normalized range in the mid $400 million as the year progresses. In February, we were pleased to renew our credit facility for another 24 months. The facility includes a revolver of $510 million and an accordion option of up to $100 million. Shareholder’s equity decreased modestly to $696 million at quarter end from $701 million at year end 2023, reflecting the payments of the special dividends. The company’s book value per share was $8.39 at quarter end versus a book value per share of $8.45 at the end of 2023. However, book value per share is up from $8.37 at this point last year, demonstrating our ability to pay a special dividend and grow book value. I will now turn the call back to Scott for closing comments.
Scott Rowland: Thanks, Tracy. Coming off of a challenging year where we maintained a cautious stance, we are feeling increasingly positive that 2024 will mark an inflection point for commercial real estate. As interest rates stabilize and likely decline in the quarters ahead, we are seeing buyers and sellers regain confidence in the market. We were able to deploy a substantial amount of capital in new investments during Q1 and we continue to see favorable conditions for us to expand the portfolio to historical levels this year. At this stage in the cycle, we can invest with attractive risk return profiles as valuations and borrower expectations have been broadly reset. With respect to the stage loans, we made substantial progress in the past several quarters and expect realization and/or resolution on others during 2024. Our team continues to demonstrate the ability to effectively navigate these situations that unfortunately can occur with situations such as the rapid rise in rates. With that, that completes our prepared remarks and we will now open the call to questions.
Operator: [Operator Instructions] The first question comes from Graham Ryding. Graham, your line is open.
Graham Ryding: Great. Can you hear me okay?
Blair Tamblyn: Yeah. Hi, Graham.
Scott Rowland: Hi, Graham.
Graham Ryding: Hi. Great. Maybe just start with the portfolio, like, how are you feeling about the potential growth here in terms of when you’re thinking about this year, how much capacity do you have, like $1.1 billion, $1.2 billion? Can you get the portfolio back up to that size this year or what’s your feeling?
Blair Tamblyn: I’m looking at Tracy, but I can answer too. Graham, I do think, so we did have a lot of repayments. If I think about where our situation was, we had a lot of repayments in Q4 and then we had the repayment of the Quebec portfolio in Q1. That essentially all gets covered with reducing debt under the line. So, we do have ample capacity under the line to continue to grow. Talking to the Originations team, we’re quite pleased with the pipeline and our repayment situation has gone back to, say, normal levels is what we’re seeing right now, which is to be expected after a higher percentage. So, yeah, I do think we’ll be expanding the portfolio in the coming quarters. I think that $1.1 billion, $1.2 billion, that’s exactly right in that range.
Graham Ryding: Okay. Great. My next question would just be, I guess, there was a couple of developments here on sort of assets moving from Stage 2 to Stage 3. First of all, just the Downtown Vancouver retail portfolio, what determines here that you’re comfortable putting these assets in Stage 2 versus Stage 3?
Blair Tamblyn: So the Vancouver portfolio, and again, I’ll split this with Tracy, but the Vancouver portfolio was in Stage 1, just to be clear where we’re starting from. So we’ve just advanced it to Stage 2. So this is not in default. So it is not -- the 90 days plus default is sort of your definition of Stage 3. This isn’t a default, but Stage 2 is also, the definition of Stage 2 involves loans that may have had a material segregation. And so from our perspective, we know the borrower just has a bit of a stressed balance sheet, right? Because their interest rates have doubled over the past couple of years and they have a fair number of -- they have a mix of income producing assets and redevelopment assets. And the redevelopment assets require equity injection to pay interest. And so the borrower is just -- their business plan is they need to sell some assets to create liquidity and that is how they’re sort of going to get themselves out of their current sort of situation. They’re very strong assets, very well located Downtown Vancouver. But we felt it was prudent to put this portfolio into Stage 2, because we know that the borrower needs to generate some liquidity to asset sales.
Graham Ryding: Okay.
Scott Rowland: Hey, Graham. I just add to that, this is also a borrower we’ve had a very long-term and positive relationship with. So we’re confident that he’s acting in everybody’s best interest.
Graham Ryding: Okay. Okay. And then that’s helpful. Similar on the office properties in Calgary, like, what was it that sort of triggered the move from Stage 3 back to Stage 2? Was it these equity pledges on the proceeds from sales that you expect to get and then if…
Blair Tamblyn: It is…
Graham Ryding: … that’s it, what is your visibility…
Blair Tamblyn: Yeah.
Graham Ryding: … on the potential sale there?
Blair Tamblyn: It’s part of that, Graham. And then we also -- it’s sort of a wholesome forbearance agreement that we’re starting. So it’s a combination of factors of a new agreed to interest rate, the borrower continuing to inject capital into the assets, the pledges you mentioned. And then we extended the term to 2025. So sort of reaching agreement with the borrower on that strategy. And then the borrower will now continue to lease the assets and to stabilize the underlying property NOI. And we are seeing green shoots in the Calgary market, but we’re not anticipating sales in the next 12 months, likely more in the 18 months to 24 months. But there needs to be stabilization of the underlying property income first before we take those assets to market. The borrower, I should say.
Graham Ryding: Okay. So is it fair to say that the retail portfolio in Vancouver, you expect an earlier resolution to those assets versus the office properties in Calgary?
Blair Tamblyn: Yeah. That’s absolutely true. And then with the Vancouver properties, there’s multiple loans, multiple assets. So where as opposed to the Quebec City portfolio, which was a singular process that resolved at one time, this should be more of a step function, depending on as assets come up for sale and close, we would anticipate getting parcel repayments sort of over the next 12 months, which is more -- which is easier to manage from our perspective as well.
Graham Ryding: Okay. Understood. That’s it for me. Thank you.
Blair Tamblyn: Thanks, Graham.
Scott Rowland: Thanks, Graham.
Operator: Our next question comes from Stephen Boland. Stephen, your line is now open.
Blair Tamblyn: Hi, Steve.
Stephen Boland: Hi. Can you hear me okay?
Blair Tamblyn: Yeah.
Stephen Boland: Okay. Great. Just a couple of questions, maybe following on Graham’s stuff. I mean, 2023 obviously was a challenging year, but you seem to have come through it. Notwithstanding rates moving up as high as they did and some of these durations of these mortgages that went Stage 2 and 3 were a little bit older. What has changed or if anything on your underwriting process, like, is there anything that you’ve gained from this process? I mean, are you going to lower LTVs? Are you avoiding certain segments, geographies? I’m just wondering, not so much about growth…
Blair Tamblyn: Yeah.
Stephen Boland: … just what about how you protect the downside, I think?
Scott Rowland: Yeah. It’s funny, right? I would say and I’m looking across at Geoff Mctait here, our Originations leader, we always underwrite everything. We do a full in-house underwriting of every asset we’ve ever been involved in. And so, we obviously use third-party appraisals, but we have a very, very deep team involved, soup to nuts, from the beginning of how we source our loans through the underwriting process. So while we get recourse and we sponsorship the big focus of our initiative -- of our focus when we underwrite assets, really the underwriting asset collateral and quality is a key part of how we like to lend. So when we go into that pre-COVID condition or pre-rate interest rates going up in 2022, we’re underwriting at 5%, 5.5% interest rates and cap rates are 4% and that’s the environment that you’re in. We’re doing our best to ensure that these are assets, hey, we think that there’s NOI and NOI growth potential in the assets, Steve, and assets that we like. We go through to sort of protect us essentially from what happened. So in 2023, when all of a sudden there was a rapid rise in floating rates and rates went from 5% to 10%, there’s no question, not a lot of underwriters are planning for that rapid of an increase. But what we feel good about is that we know at the end of the day, as there’s problems, we hope our borrowers can work that out. But if not, we think that the assets are there to have that value, and as we work through our remedies and get to conclusion, that’s why we feel good about our process and the track record that we’ll be able to demonstrate as we sort of take loans through the stages, through the payoffs. And I think when we look at our process today, so I don’t think that we’re necessarily doing things differently, because we’re still a complete -- we do a complete level of macro and micro analysis that you would expect us to do. I think the differences, though, for us and why we’re sort of, we really think kind of 2024 and 2025 is attractive is that the markets reset a bit. So when you have a very, very strong middle innings of the real estate market, the borrowers demand a lot, there’s a lot of lenders stepping up, valuations are high and it’s just a more aggressive environment. I think today you’re seeing a lot more hesitation, buyers and sellers, prices are down a bit and lenders can just, we’re a little bit more in the driver’s seat to demand, a lower loan-to-value or an increased structure or stronger sponsorship. So it’s a variety of elements at this time of the cycle, we’re just sort of the lenders a little bit more in the driver’s seat and that allows us to underwrite attractive loans. Geoff, I don’t know if you want to add or Blair.
Geoff McTait: Yeah. I mean, I think, yeah, obviously, don’t disagree with anything you said there. I mean, obviously the reality in the last couple of years and the rapid rise is something that, again, where and when we look at and think through and run our map, again, we’re focused on the exit and the exit today within a higher interest rate environment is going to deliver less loan proceeds than it historically would have. So, the potential there for us certainly, maybe we add a little incremental buffer on the back end to ensure that there’s a baseline of comfort and room in the exit. And obviously, yeah, as Scott said, we’ve always been very, very focused on sponsorship, network and liquidity, et cetera. Again, that’s something that we’re going to maybe look at an extra time or two as we go through, we see what’s happened where and when we understand the maybe it is too much construction, too much land, too much floating rate within their broader empire analysis that we do to determine liquidity and stresses that could happen, because again, the fundamental real estate underwriting that we’ve historically done hasn’t changed. But again, obviously the reality of the last couple of years is going to play into how we think about the world going forward and how we think about explosions of any one group or any combination of things. So we’re definitely taking it. It’s a learning opportunity for sure. Again, we do a fulsome approach and this is just new data that we incorporate into our analysis and how we underwrite and think about deals.
Blair Tamblyn: Hey, Steve. It’s Blair. I’ll just add a couple of quick things. And you and I have talked with these a bit. So if we go back up to 30,000 feet, I mean, our style of lending is to support growth, right, as we talked about. So we’re looking to help people acquire assets, invest in them and drive up rents, drive up NOI. So, to Scott’s point, at the tail end of the cycle, the purchase prices were highly tuned, right? So rents, you’re still seeing growth, but it was a very tight margin. So harder to lend. You fast forward till now and to your point about what’s changed, well, what’s changed is values have come off. So the pricing isn’t quite as finely tuned as it was. So we’re still looking to support growth, support people that are buying assets to improve them, but there’s just a little bit more room there. And importantly, the V in the LTV is reflecting this reduction in values. It’s different in different asset classes, but I don’t think anyone would argue that the values are down over the past couple of years. So that makes it, those are fundamental differences.
Stephen Boland: Okay. Well, that’s good color. And Blair, I can’t apologize if I’ve asked you this, but certainly we’re talking about growth again, 2024, 2025, you’ve locked in a lower overall credit facility for that time period. So is -- are you comfortable that you’re going to have the capacity, if things go better than expected to say in 2025, that you’re going to have room, even though I know you have an accordion, I’m just, I’m just curious about the decision about reducing the credit line when we’re talking about re-growing the business?
Blair Tamblyn: Yea. Yeah. Look, I mean, our syndicate is really supportive. We as a company felt it made the most sense to modestly reduce the facility based upon the utilization, and obviously there’s standby fees for that sort of thing. We have, we have capacity, Scott answered Graham’s question a minute ago. We have capacity to get back to a $1 billion, $2 billion, which is generally speaking where we’ve operated. As the fundamentals improve, Geoff and his team are happy there’s going to be flow there. And if there’s flow there that, that generally means that, that the opportunity to continue growing will be there. I mean, it’s -- but it all has to balance, right? So we target a balance between leverage -- a leverage ratio. So we’re not going to continue to add debt without adding equity. So we’ll see how the equity markets react to the business improving and if we can grow the business, we’d love to, of course.
Scott Rowland: Yeah. And I would just add to that. I mean, from my standpoint on the syndication front, which is kind of our other lever to drive incremental growth where and when we’re fully utilized on the line. I think maybe last quarter I’d referenced some constraints underlying some changes in Aussie [ph] capital ratios, which could restrict our institutional syndicate partners from participating in more opportunities. Those restrictions have been removed or clarified such that within the core space in which we operate and again, primarily focusing on income producing multifamily residential, that the required capital ratios have returned to their historic levels, which creates a cost effective and certainly an increased appetite and higher potential for us to go and syndicate more deals, which is again, what we do to create incremental capacity beyond the availability of the bank line.
Stephen Boland: Okay. That’s all for me. Thanks guys.
Scott Rowland: Great. Thanks, Steve.
Blair Tamblyn: Thanks.
Operator: [Operator Instructions] There are no other questions at this time. So I’ll turn the meeting back to Blair Tamblyn for closing remarks.
Blair Tamblyn: Great. Thanks everyone for joining us today. We certainly appreciate your time. We’ll look forward to speaking again when we release our Q2 results in about 90 days. In the interim, as always, please feel free to reach out to the team if you have any questions. Have a good afternoon.